Operator: Good morning. Welcome to Brunswick Corporation’s Fourth Quarter and Full Year 2024 Earnings Conference Call. All participants will be in a listen-only mode until the question-and-answer period. Today’s meeting will be recorded. If you have any objections, you may now disconnect at this time. I would now like to introduce Neha Clark, Senior Vice President, Enterprise Finance, Brunswick Corporations. Thank you. You may begin.
Neha Clark: Good morning and thank you for joining us. With me on the call this morning are Dave Foulkes, Brunswick’s CEO; and Ryan Gwillim, CFO. Before we begin with our prepared remarks, I would like to remind everyone that during this call our comments will include certain forward-looking statements about future results. Please keep in mind that our actual results could differ materially from these expectations. For details on these factors to consider, please refer to our recent SEC filings and today’s press release. All of these documents are available on our website at brunswick.com. During our presentation, we will be referring to certain non-GAAP financial information. Reconciliations of GAAP to non-GAAP financial measures are provided in the appendix to this presentation and the reconciliation sections of the unaudited consolidated financial statements accompanying today’s results. I will now turn the call over to Dave.
Dave Foulkes: Thanks, Neha, and good morning, everyone. We had a very solid finish to 2024 characterized by significant cash generation in the fourth quarter, further outboard engine market share gains, successful new product launches and optimal operating performance in the circumstances, all of which enabled us to conclude full year 2024 slightly ahead of our recent expectations. Our ongoing diligent management of boat field inventory and production resulted in well balanced levels exiting the year, with 36.8 weeks on hand in the U.S. dealer pipeline. In line with prior expectations, U.S. new boat retail sales ended 2024 down high single-digit percent versus 2023, with Brunswick performing slightly better than the industry in important premium segments. With dealer and retailer inventories well positioned, our channel partners have shifted their focus towards early season boat shows, which have been fairly encouraging to date. Our continued focus on cost containment, robust capital strategy execution and successful efforts to manage working capital resulted in full year free cash flow conversion of 92%, even as we continued to invest in new products and technologies to support strategic growth initiatives. In addition, we completed a total of $200 million of share repurchases in 2024. Turning to some highlights from our segments in the quarter. As anticipated, reduced production in our Propulsion business resulted in lower net sales and operating earnings in the fourth quarter versus 2023, however, we continue to outperform the market and gained 110 basis points of U.S. retail outboard engine share during the year, in addition to achieving significant share increases at 2025 early season boat shows. Our Engine Parts and Accessories businesses delivered slightly lower net sales and earnings in the fourth quarter versus prior year but grew earnings and operating margins for the full year, led by the products portion of the business and the operational efficiencies resulting from the completed transition to the Brownsburg, Indiana distribution center. Navico Group sales were essentially flat versus fourth quarter 2023, with well received and positioned new products supporting higher net sales in the Aftermarket business versus prior year, and a solid holiday season performance which, together with continued cost control and complexity reduction, resulted in sequentially higher sales and adjusted earnings versus the third quarter. Our Boat business delivered sales and earnings in the quarter consistent with expectations, while continuing to ensure healthy pipeline inventory levels as we enter 2025. Strong demand for premium products, together with market share gains in several categories, helped provide a stable baseline for 2025. Finally, Freedom Boat Club had another strong quarter, continuing to integrate its recent acquisitions and achieving over 600,000 annual member trips for the second consecutive year. Over the past twelve months Freedom added many new locations in the U.S., Europe, Australia and New Zealand, and continues on a path to add more regions enabled by its convenient, synergistic and cycle-resilient business model. Turning to the external environment, we have obviously seen some welcome interest rate relief since September, which was too late to affect the 2024 season but should be a tailwind for the 2025 season. The uncertain tariff environment has, of course, become an elevated consideration. We have the benefit of producing the large majority of our products in the U.S. and for the U.S. market, and we have significantly reduced our exposure to China over the past few years, however, at current tariff rates we anticipate an annualized impact of approximately $35 million in 2025. We are preparing for a range of scenarios and have many short- and long-term mitigating actions already underway, including continued migration of our supply base, inventory staging and optimization of our facilities. Dealer sentiment is fairly solid with focus shifted towards early season boat shows. We were pleased to see U.S. Small Business confidence improving in the most recent surveys. As we enter 2025, discounting and promotion levels remain elevated, particularly on prior model year products, and as anticipated, OEMs and channel partners are continuing to be cautious in their production and ordering patterns, however, we continue to see strong boating participation supporting our resilient, recurring revenue businesses and there is high interest in and good acceptance of our many fresh, innovative new products. Finally, the previously proposed North Atlantic Right Whale Vessel Speed Restriction rule was recently withdrawn from the regulatory agenda. Moving now to U.S. industry retail performance. U.S. outboard engine industry retail units declined 8% on a full year basis versus prior year, with Mercury Marine outperforming the industry. As mentioned, Mercury Marine continues to gain share, delivering 110 basis points of U.S. outboard engine market share increase for the full year. We have diligently managed boat pipeline levels, and for the full year, wholesale shipments were down 24% in a retail environment that was down high single digits, leading to healthy U.S. year-end inventory of 36.8 weeks on hand. Premium fiberglass pipelines finished well below historical levels. Before I turn it over to Ryan, I wanted to walk through the components of our full year 2025 adjusted EPS guidance of between $3.50 per share and $5 per share. As many of you are aware, there are several unique factors that will influence this year’s earnings profile, with some outside our direct control. This bridge illustrates our current view of the moving pieces. In the areas over which we have more control, we believe that we’ll grow earnings as a result of additional volume primarily in the back half of the year. In addition, we have significant cost reduction efforts underway with an anticipated benefit of approximately $1.25 per share, which will partly be offset by the variable compensation reset of $1 per share. The combination of tariffs and the impact of foreign exchange rates creates a headwind of just under $0.80 per share, split roughly evenly. The tariff estimate reflects our base impact predicated on current rules and rates, which Ryan will speak more about in a moment. The further strengthening of the U.S. dollar versus several currencies including the euro, peso, real and others, results in primarily transaction losses as our non-U.S. businesses purchase product from our U.S. operations. We believe we can partially offset this impact through pricing for certain markets and product lines, but we will not be able to offset the full impact. I’ll now turn the call over to Ryan to provide additional comments on our financial performance and outlook.
Ryan Gwillim: Thanks, Dave, and good morning, everyone. Brunswick’s fourth quarter results were slightly ahead of expectations, but remained below prior year due to the continued challenging U.S. retail marine market. Versus the fourth quarter of 2023, net sales in the quarter were down 15%, with adjusted operating margins of 4% resulting in an adjusted EPS of $0.24. Fourth quarter sales were below prior year as the impact of continued lower production and wholesale ordering by dealers, OEMs and retailers, coupled with higher discounts in select segments and unfavorable changes in foreign currency exchange rates, were only partially offset by annual price increases and well received new products. Adjusted operating earnings and margin declined versus the fourth quarter of 2023 resulting from the impact of lower net sales and lower absorption from decreased production levels, partially offset by ongoing cost control efforts. Lastly, we generated $278 million of free cash flow in the fourth quarter, a record for any fourth quarter in Brunswick’s history. On a full year basis, sales were down 18%, with adjusted operating margins of 9.5%, resulting in adjusted diluted EPS of $4.57, down 48%. Gross margin performance remains steady despite the topline softness, while operating expenses were down more than 7% versus 2023 levels, even after absorbing the impact of acquisitions, as the entire enterprise remains focused on reducing controllable costs. The strong Q4 free cash flow resulted in a full year free cash flow conversion of 92%, which is above our annual target of 80%. Now we’ll look at each reporting segment, starting with our Propulsion business, which saw a 24% decrease in sales resulting from continued efforts to moderate field inventory, partially offset by continued market share gains in outboard engines. Mercury lowered it’s U.S. engine pipeline by over 25,000 units in 2024, with production rates in the U.S. down 65% in the second half of the year, which together should allow for wholesale improvement in 2025. Segment operating earnings were below prior year due to the impact of sales declines, lower absorption and higher labor and material inflation, partially offset by cost control measures. Our Aftermarket-led Engine Parts and Accessories business had another solid quarter. Segment sales were slightly down as the impact from slightly lower domestic sales were only partially offset by higher sales in certain international markets, while segment adjusted operating earnings were impacted by the sales declines and higher material inflation, which more than offset the impact of pricing and lower operating expenses. For the full year, aided by the efficiencies generated by the completed transition to our new state-of-the-art facility in Brownsburg, Indiana, our Engine P&A segment grew adjusted operating earnings despite the slower retail conditions, yet another reminder of the importance of this recurring annuity-based high profit business. Navico Group had essentially flat sales versus same period in 2023 as the business experienced softer marine OEM orders and the continued weak RV manufacturing environment in the quarter which were mostly offset by the higher net sales in the resilient Aftermarket business. Operating earnings decreased in the quarter primarily as a result of the slight net sales declines and intangible asset impairment charges which more than offset the benefit of cost control measures. Note that, as expected, Navico improved sales and adjusted earnings sequentially versus the third quarter as a result of the strong performance in the Aftermarket business and ongoing cost control measures. Finally, our Boat business had sales and operating earnings below the fourth quarter of 2023, consistent with lower planned production levels across many of our brands. Similar to my comments on Mercury, our Boat group also did an excellent job managing field inventory, reducing full year production by over 30% and finishing the year with more than 1,000 fewer boats in the U.S. pipeline. Sales decreased 18% in the quarter resulting from the anticipated softer wholesale orders, as dealers continue to manage pipeline levels, coupled with higher levels of selective discounting, which offset favorable mix and the impact of pricing actions taken earlier in the year. Segment adjusted operating earnings declined resulting from net sales declines and lower absorption due to the reduced production levels. Freedom Boat Club delivered another strong quarter, contributing approximately 12% of sales to the segment. We successfully executed our capital strategy in 2024, ending the year with $287 million of cash, while funding strategic growth in our businesses and returning capital to shareholders. We deployed $167 million for capital expenditures on exciting new products and growth projects across our businesses, which we believe will drive future revenue and earnings growth. In addition, as Dave mentioned, we took advantage of market and Brunswick share value dislocation, and repurchased $200 million of our own shares, representing approximately 2.5 million shares or 4% of the company. We also increased our dividend for the 12th consecutive year. Lastly, we reduced net inventory by 12% versus end of the year levels in 2023, and anticipate a similar reduction throughout 2025. The result was a second-half working capital generation of over $170 million, with benefits continuing into 2025 as you will see shortly when I discuss 2025 guidance. As we look at our outlook for the year, 2025 has the potential to be a year of steadily easing financial conditions and while we enter the year with a cautious outlook, particularly for the first quarter, we remain extremely focused on delivering steady free cash flow and resilient earnings per share, resulting in continued strong shareholder returns. Our disciplined pipeline management, strong operational performance and continued investments in new products and growth, coupled with prudent cost containment actions, strong cash management and generation, and a thoughtful capital strategy, provide the necessary controllable levers in this uncertain consumer and business environment. The result is the guidance you see on this slide, as previewed by Dave earlier, including net sales of between $5.2 billion to $5.6 billion and adjusted diluted EPS of between $3.50 and $5. We anticipate free cash flow in excess of $350 million, with strong free cash flow conversion. Note that we anticipate Q1 looking very similar to the fourth quarter just completed, with continued improvement in wholesale ordering patterns as we progress throughout the year. Our underlying market assumption for this guidance is a U.S. boat retail market that is flat to 2024 in terms of retails units sold. We continue to believe that there are good reasons to believe that the market could outperform a flat assumption, but we consider this the most balanced assumption on which to base our initial guidance. I’ll end my prepared remarks this morning with a quick review on other P&L and cash flow assumptions underlying our initial guidance. We believe that our spending on capital expenditures and annual depreciation expense will be similar to 2024 levels. We plan to generate approximately $100 million of net working capital, as we anticipate inventory levels continuing to moderate throughout the year, building on the work started in 2024. Our plan assumes that we continue our systematic share repurchases, with a minimum of $80 million of repurchases done in the year, which could increase in the event that cash generation outpaces our initial expectations. Note we have already completed $10 million of repurchases in January, taking advantage of significant value dislocation between our recent share price and our future outlook. Our guidance on tariffs assumes $30 million to $40 million of incremental tariffs in 2025, primarily a result of existing China 301 tariffs and the absence of benefits from certain exclusions and catch-up duty drawbacks that expired or were completed in 2024 and will not repeat this year. We are actively working to mitigate the overall tariff impact through inventory staging, pricing and other methods, and will be ready to accelerate mitigation efforts should new tariff laws be enacted throughout the year. As we continue to see foreign currency rate fluctuations, our guidance assumes $30 million to $40 million in unfavorable earnings impact due primarily to the strong U.S. dollar impacting our non-U.S. operations. Finally, and just as a reminder, we have been very diligent in managing our debt structure which is well positioned with no meaningful debt coming due until 2029. I will now pass the call back to Dave for concluding remarks.
Dave Foulkes: Thanks, Ryan. We are extremely pleased with the enormous excitement generated by Brunswick’s sixth year exhibiting at the Consumer Electronics Show in early January, where we showcased our full portfolio of already commercialized and upcoming new ACES and Boating Intelligence products, technologies and concepts. We have also seen positive momentum and sentiment from consumers and dealers at the major early-season boat shows, including Dusseldorf, New York, Toronto and Minneapolis. Year-to-date, our aggregate unit boat sales across all boat shows are up 13% versus prior year. At the Dusseldorf boat show, the world’s largest indoor show, several of our boat brands had record sales, including Sea Ray which surpassed last year’s record total by more than 20% and Quicksilver which tripled unit sales versus prior year. We were encouraged to see the consumer strength and buying interest extend across our premium and core brands. Mercury has also had a very robust start to the show season, gaining share at multiple shows. In Dusseldorf, Mercury’s overall outboard share increased dramatically from 48% in 2024 to 55% in 2025. For larger 150 horsepower and above outboards, Mercury had 69% share, and Mercury outboards were present on every outboard-powered flagship and/or new boat larger than 7 meters. At the Toronto show, Mercury’s outboard share was also up significantly, reaching 45%, up from just under 38% in 2024. Navico Group also had a strong Dusseldorf show with its technology present on more than 80% of boats on display. We continue our rapid cadence of exciting new product launches from across our businesses and brands. Navico Group recently began shipping its new Lowrance Elite FS fishfinders and will shortly begin shipping its new, industry-leading Recon trolling motors under the Lowrance and Simrad brands for freshwater and saltwater applications, respectively. At the upcoming Miami show, Simrad will launch its most advanced ever multi-function display which uses the latest version of its unique Android-based operating system and a new ultra-fast processor. Our Boat Business continues to introduce outstanding new products to meet the needs of domestic and international customers at all price points and recently launched the new Bayliner V-Series and the Sea Ray SDX 270 hybrid surf boat at the Dusseldorf Show. Freedom Boat Club is expanding into New Zealand and recently partnered with our Spanish distribution partner, Touron to begin opening locations in Madrid. In addition to our slate of exciting new products and solutions for recreational markets, Textron Systems recently announced its partnership with Brunswick to produce the Tsunami autonomous marine surface vessel for U.S. and allied navies. The vessel utilizes a Brunswick hull, a Mercury Propulsion system and a Simrad radar paired with Textron’s autonomous control system and is another example of Brunswick’s unique ability to supply leading-edge systems solutions. As you all know, we pride our ourselves on being an employer of choice, on being an innovator in our space and on being a responsible and trustworthy company, and for the third consecutive year we again surpassed 100 awards for our people, our culture, our products and our innovation. Notably, 15% of our awards are national awards from outlets such as Newsweek, USA Today, Time and Forbes, one highlight in 2024 being our number one ranking in the engineering and manufacturing category in Time Magazine’s list of Americas Best Midsize Companies. Finally, on January 15, 2025, we celebrated the 100th anniversary of our listing on the New York Stock Exchange. Brunswick is the 35th company currently listed to cross the 100-year milestone. Before I finish, I would like to remind you of our upcoming Investor and Analyst events during the Miami Boat Show, including a tour of Brunswick’s many exhibits at the show followed by a cocktail hour at the Ritz-Carlton. Thank you for your attention. We will now open the line for questions.
Operator: Thank you. [Operator Instructions] Our first question is from Craig Kennison with Baird. Please proceed.
Craig Kennison: Good morning. Thank you for taking my question. I wanted to ask about your cost savings. Can you help us unpack that $1.25 cost savings in the EPS bridge that you mentioned, Dave? Just curious where those savings are coming from?
Dave Foulkes: Yeah. Good morning, Craig, and thanks for the question. Yeah. A number of places, really. I think, if you -- kind of the base of it really is kind of run rate savings that we began to generate even in 2024. If you look from 1st of January 2024 to 31st of December, we unfortunately had to exit about 20% of our hourly staff and about 7% of our salary staff. The majority of that happened in the back half of the year when it was clear that we had to reduce our production levels to support kind of year-end inventory levels that we needed to go into 2025. So, we’ll get a full-year run rate of those savings in 2025, which is significant. The other thing to think about is that, as we were kind of significantly under producing retail in the back half of 2024, it’s a pretty inefficient process. I think we did the best job that we could have done in the circumstances, but we really were producing at low levels. Ryan will maybe talk about it later, but we only produced about 10,000 units, I think, in our Boat business. We certainly significantly under produced retail in our Engine business and elsewhere. That is an inefficient thing to do. You’ve always got too much labor. You’ve always got too many shifts. Your production lines are not re-optimized for lower rates. There’s no retraining possible or modest amounts of retraining possible in that period of time. So, as we go into 2025, we highlighted some of the additional potential headwinds that we face with tariffs and FX, but really, we go in with a much more optimized operating position. We’re staffed correctly. We’ve re-optimized our production lines. In a lot of cases, we’ve been able to go back after our suppliers and negotiate cost reductions. On top of that, we’ll be doing other things during the course of the year, but in a lot of ways, we are set up as a very efficient operation going into 2025, which is a big benefit throughout the year.
Craig Kennison: Thanks, Dave.
Operator: Our next question is from Mike Swartz with Truist Securities. Please proceed.
Mike Swartz: Hey, guys. Good morning. Maybe just following up on Craig’s question, a little more detail. I mean, of the $1.25, which I think works out to about $100 million or so, how much of that is from things that have already been enacted versus things to come? How much of that is structural versus maybe temporary in nature, where we’d see maybe those costs come back when volume returns?
Dave Foulkes: Yeah. I don’t have a complete number for that, but Ryan and I would just probably like 50-50.
Ryan Gwillim: Yeah. About 50-50.
Dave Foulkes: Yeah. About 50-50 probably. I think costs coming back, first of all, we learn how to operate more efficiently. So we are always reluctant to add back fixed costs anywhere. And I think the amount of variable costs that we add back will obviously depend on how volumes progress during the year. I do not imagine us adding back a lot of that cost certainly in 2025 and probably not a lot of fixed costs in 2026 either. But there are projects that we have already underway that didn’t really yield material benefits in 2024 that are yielding or will yield benefits in 2025. And they’re a combination of supply chain projects, operating efficiencies, where we can make our plants and production lines even more efficient. For example, we’ll be combining multiple products onto a single production line, for example, at some of our Boat facilities that we were not able to do in 2024 until we got through shutdowns and other things over the course of the back half of the year and undertook retraining and those kinds of things. We’re certainly going after a lot of value engineering work, which will reduce COGS on our products. That will be a significant focus of our engineering and operational functions during the course of the year. So, these savings that we’re projecting are not speculative. Every cent of that $1.25 has a plan behind it. Some of it’s already in our pocket, if you like, but there’s significant work to do, but we knew what we were going to do.
Ryan Gwillim: Yeah. Just one other comment. I think you’re hearing this from Dave. A lot of these will be found in the gross margin line. So, these are not all OpEx. In fact, probably even weighted a little bit towards gross margin, which should be a surprise given all the OpEx we’ve already taken out and the efficiencies that we believe we can add back in on the gross margin P&A line item.
Mike Swartz: Okay. That’s helpful. And then maybe just another question on the guidance and the guidance range. It’s a pretty wide range, and I think you said, your expectation is retail-flattish. I would assume that’s at the midpoint. So, maybe just help us understand how you would get to the low end of that range and maybe how you would get to the high end of that range as well?
Ryan Gwillim: Yeah. I’ll start, Mike, and then Dave can follow up. The high end of the range is relatively straightforward. I would say all things constant, it would be a market that outperforms flat, but it doesn’t need to outperform materially. If it got to a mid-single-digit up, I think that would be a good start. It would probably also include FX that would be back to more normal -- normalized levels. Again, it doesn’t need to improve greatly. The dollar doesn’t need to weaken significantly. But if it got back to something that we were in more 2022, 2023, where the dollar is at kind of $3.10 versus low $1.05 or below, that would certainly be a big chunk. And then no incremental tariffs outside of what we’ve already baked in, which are the continuation of the China 301 tariffs that we’ve been dealing with now for a number of years. You have all -- if those three things come through, you definitely can get to $5. The $3.50 case is kind of the opposite. It would be a market that’s $5 down or worse. It’s no improvement or even a worsening in the FX rates and it’s potentially -- and/or it’s potentially more tariffs outside of China into places like Canada and Mexico or other factors. So I know it’s a bit of a wider range than folks are used to, but on the things that we can control, we think we’re very well suited. But we’re obviously dealing with a pretty uncertain time. And so most of the flexibility and the guidance are on things that we’re just going to have to react to throughout the year.
Mike Swartz: Thank you.
Dave Foulkes: Yeah. I think on the subject also, Mike, on the subject of tariffs, we have already taken significant mitigating actions, including replacement of inventory, working with our supply base. There’s a lot of optimization that’s gone on ahead of this uncertain environment to mitigate the impacts, certainly in 2025.
Operator: Our next question is from Fred Wightman with Wolfe Research. Please proceed.
Fred Wightman: Hey guys. Just one more on the guidance. If we look at the sort of 1Q numbers that you put out there, it’s a bit below where consensus was. I’m wondering if the cadence or the shape of the year has sort of changed versus where you thought it would have been a quarter or two, given sort of the ongoing destock or if this is just sort of always to plan and it was sort of the ramp into the back half was what you penciled in?
Ryan Gwillim: Yeah. I mean, it really is a lot of math and we’re very confident in it. I wouldn’t say it’s a material change in our assumptions at the moment. I think broadly, early season boat shows are positive, but that’s not baked in anywhere. If you think about Q1 last year, we were still running a business capable of supporting 160,000 unit a year market. Incentives were much lower. Dealer confidence was relatively good. Retail actually was up at this point in the year and through most of the first quarter. So we have on the kind of margin side, I think we have every reason to believe that we will just operate a lot more efficiently during the course of this year, but we will take a bit of a hit in Q1. Certainly, we have some good levers for topline growth this year, even in a flat market, we expect growth from Navico Group, from Freedom, from Mercury share gains. So -- and of course, we significantly under produced the market and were at our least efficient in Q3 and Q4 last year as we right -- took the pain of right-sizing inventory. So we just expect to be operating much better, more efficiently and to achieve some growth in select areas in the back half of the year.
Fred Wightman: That makes sense. And then just to shift gears a bit to share our purchases, I mean, it’s down a good bit from where you guys have been running the past few years. Can you just explain the thinking behind that? It sounds like there could maybe be some upside to that $80 million, but how should we think about that?
Dave Foulkes: Yeah. Fred, we’re balancing all of our capital strategy needs and opportunities. I think it’s fair to say that $80 million is a baseline, as you correctly point out. We want to watch our debt leverage. Obviously, we’re cognizant that on a TTM basis, the first half of this year, together with the back half last year, is probably trough earnings. We kind of very much believe trough earnings. And so just making sure we’re smart about cash utilization here early in the year. We’ve got a little bit of debt that we’ve been smart on paying off. We’ve flipped some from fixed to floating to take advantage of the lowering rates. We’ve done some work on USD to some euro currency debt as well, so some swap action. So we’re being smart about everything cash oriented. I think if cash should continue to be strong and I can tell you that January actually continued the theme of the back half of last year. In January, cash came in significantly over kind of expectations and over 2024 January. And again, still one month, but still a good sign if that trend continues. And I can assure that $80 million will not be the final landing spot. We’d be able to do repurchases and continue to service our debt appropriately.
Fred Wightman: Great. Thanks a lot.
Operator: Our next question is from James Hardiman with Citi. Please proceed.
James Hardiman: Hey. Good morning. So maybe asking what’s already been asked in some slightly different ways. Versus three months ago, I think you seemed pretty confident or at least then you seemed pretty confident that 2025 earnings would grow versus 2024. That’s still certainly on the table at the high end, but the midpoint is maybe a little bit lower. I guess I’m just trying to figure out what’s changed versus three months ago. Fourth quarter was better than expected. Maybe if I look at that bridge, which of those were already fully baked as of three months ago and which of those are incremental? And then to the question about Q1, I guess, I’m just curious, are we still in an environment where we’re under shipping the channel for the foreseeable future? Just trying to put together some of these pieces?
Dave Foulkes: Yeah. Hi, James. Yeah. So I think probably if you wanted to isolate one thing that has changed most significantly is FX. It really did change significantly over the past three months. So as we were planning our budgets for 2025 and midpoint of guidance, we were not anticipating that $0.40 of additional FX headwind, which would have put us, as you mentioned, significantly above prior year EPS, absent that as a midpoint. So that’s the biggest change. Ryan, did you wanted to...
Ryan Gwillim: Yeah. No. James, good morning. On your question on wholesale versus retail, yes. The plan right now currently is that wholesale under ships retail the first half of the year and then that moderates and flips over in the back half of the year. Something to remember for everyone, production and wholesale in our primary Boat and Engine businesses in the back half of 2024 was historically low. So we did -- we took actions, purposeful actions to control inventory levels in the pipeline, and the result was wholesaling at the Boat and Engine level in the back half of the year that was significantly below any second half in years. And so if you roll that forward to the second half of 2025, we understand that our guidance and performance looks a little back half loaded, but the back half of this year is against a historically low back half of 2024. And if you look at back half of 2025 versus, say, any other year since 2018 or 2019, it actually still looks relatively conservative and lower. So we understand the shape of the year may give people pause, but you need to keep it in mind after what we did in the back half of last year to really set us up.
James Hardiman: Got it. And then maybe staying on that wholesale versus retail conversation. So under shipping during the first half of the year, where do you expect inventories to finish the year? Is the overall assumption that wholesale will equal retail in 2025? And then as I think about that weeks on hand number, you’ve talked about how difficult it is to keep that down when volumes are this low. How should we think about that number sort of getting back to normalized levels in the years to come, right? Presumably you’re going to maybe under grow the recovery a little bit to get those weeks in hand back where you want them to be.
Ryan Gwillim: Yeah. You’re right. Our plan right now would be retail outpaces wholesale still on the Boat side and even more so on the Engine side. However, both of those still assume that wholesale units in Boats and in Engines are greater than last year.
Dave Foulkes: And we would end the year on a current plan with weeks on hand lower than the end of 2024. And really our normalized weeks on hand historically is in the 35-weeks range. The 36.8 weeks for 2024 was really an overachievement versus where we might have been if we hadn’t taken such significant action in Q4. So -- and remember on a unit basis, we are still really historically low and certainly our fiberglass pipelines are very, very low on a unit basis.
James Hardiman: That’s great color. Thanks guys.
Operator: Our next question is from Megan Clapp with Morgan Stanley. Please proceed.
Megan Clapp: Hi. Thanks so much. Just a couple of follow-up clarifications from me. So on that answer you just gave to James on wholesale versus retail, I think based on what you just said could imply the back half up maybe mid-teens. And can you just help us unpack bridge from the flat retail expectations? And I think when we talked back in October, you’d previously talked about a base case of a mid-single-digit volume tailwind. Is that still what’s embedded in the full year guide or is there something more than that now?
Ryan Gwillim: No. Maybe just to be real clear. So retail, we believe is going to be flat in the U.S. That is our -- well, I should say our plan is based on flat retail in the U.S. I think there’s some real reasons to think it could be better than that, but we think flat is a good basis. On top of that, we think wholesale in Boats will be up mid-to-high single digits on units and wholesale Engines will be up low-to-mid single digits over last year. So that is -- those are the wholesale unit embedded in the plan on a flat market environment.
Megan Clapp: Okay. Very clear. Thank you. And then on the tariffs, I think you mentioned at the low end of the range, the $3.50, there’s some incremental tariffs embedded there. Any possibility you can share with us what you’re embedding at $3.50? And if not, maybe can you just remind us on exposure to Mexico and Canada, and maybe put some parameters around what that could look like?
Ryan Gwillim: Sure. I’m going to do the latter, not the former. Trying to guess what tariff rates and things could be out there. Obviously, it’s a fool’s errand. But we -- I think we’ve covered China well, so I will move past current year China impact. If you look at speculative tariffs, just over about 20% of our costs, so under $900 million, actually originates from outside the U.S. and comes into our U.S. operations. Of that, China is less than 5%, Canada is a couple of points, and Mexico is at or about 10%, even if you include the full value attributable to our three makias. We have a makia in our Boat Group, in our Mercury segment and in Navico. So you’re still at a pretty small amount of COGS that could potentially be implicit in tariffs. Without giving any specific number, you could see at the $3.50 EPS that the tariff impact doubles for the full year, something in that area. But again, the worst case is hard to consider because we’re taking so many actions to prevent the worst case from happening, as Dave covered earlier, that it would be hard to speculate. So, again, we are primarily a U.S. manufacturer, selling U.S. products in the U.S., and where we sell internationally in many places, we produce in that location or in that region. And so, yes, tariffs continue to be something we monitor and we’re being smart about making decisions around them. But until new rules come into play, the best we can do is consider mitigation and continue operating our business as best of our ability.
Megan Clapp: Okay. That’s helpful. Thanks, Ryan.
Operator: Our next question is from Joe Altobello with Raymond James. Please proceed.
Joe Altobello: Thanks. Hey, guys. Good morning. I just want to ask about the industry outlook for 2025. You mentioned flattish, not overly heroic, obviously, off of a low base here. But you did mention the interest rates as a potential tailwind. And it looks like, at least on the consumer side, rates have not come down at all since the Fed started cutting rates. So what sort of rate environment are you baking into that flattish industry outlook?
Dave Foulkes: Yeah. Hi, Joe. Actually, even though mortgage rates have kind of re-elevated, boat loan rates have not. So if you look at the environment that we were in, kind of going through the end of the third quarter of last year, most people were paying 9%, maybe 9.5%, with reasonable credit on a boat loan. That is now 7.5%, maybe, or above, 7.5%, 7.99%, something like that. So we have retained a material reduction in the rates over that period and have not seen any reversion, unlike what has been seen in some other loan rate, in some other applications, like in mortgages. We expect that to probably edge down some more over time. So that’s the rate that we’re really looking at. I think one of the things that’s interesting as we go into the year is and it was an interesting dynamic at early season boat shows, there were a lot of people who’d stayed on the sidelines for a year or two years looking at these kind of historically high interest rates. Who saw the combination of lower interest rates, maybe a bit more bullishness, but certainly in small business, along with some of the promotions and discounts available as their opportunity to get back in. And I think it’s those combination of factors that we’re looking at as a tailwind. And real rates have, in terms of boat loans, really reduced, probably a point and a half versus where they were at the end of Q3 of last year. But I see that as a factor combined with other tailwinds for us.
Joe Altobello: Got it. Very helpful. Maybe just switch over to the EPS bridge for 2025, the volume piece, $0.25. That assumes a flat market. Does it also assume your market shares are flat or are you anticipating additional share gains, particularly in Engines?
Ryan Gwillim: No. We’d be anticipating share gains at Mercury for sure and then continued share gains on our premium boat brands.
Joe Altobello: Okay. Thank you.
Ryan Gwillim: Hey, Joe. Remember there’s also -- there’s other…
Joe Altobello: Okay.
Ryan Gwillim: … a bridge like this is always dangerous. You could put many, many other categories in here. But there’s things like price that will overcome material labor inflation and other things. So, there’s a big category of other that kind of nets out, market share being one of them. But yes, we fully anticipate on Mercury continuing to gain market share.
Joe Altobello: Is it safe to assume we’ll get a bridge like this every year, Ryan or is this one and done?
Ryan Gwillim: I think you’ve gotten one the last few, but yes, we do like our EPS bridges.
Dave Foulkes: Hey, Joe. You should look out for a press release this morning that came out from Finnish boat builder, Finnmaster, that announced yesterday a switch from a competitive outboard manufacturer to Mercury. It’s pretty interesting.
Joe Altobello: Got it. Okay. Thank you, guys.
Operator: Our next question is from Noah Zatzkin with Keybanc Capital Markets. Please proceed.
Noah Zatzkin: Hi. Thanks for taking my questions. Maybe just a couple on Navico. Obviously, on a percentage year-over-year basis, it’s a fairly large range in the guide. So, just trying to think about what needs to go right for you guys to have growth there and come in towards the higher end of that range this year. And somewhat relatedly, I noticed there’s a fairly larger structuring charge in the fourth quarter. So, I’m wondering how many more quarters you’d expect of maybe those types of charges and when we can kind of move past those? Thanks.
Dave Foulkes: Yeah. So, good question, I think, it’s interesting to look back at 2024 and Navico’s performance. It was interesting to see on a full year basis, our P&A was down about 3% topline. Our Boat and Propulsion businesses were down in the 20% to 25% range. And Navico was down 12%, which is kind of what you’d expect from a company that is 40% OEM and 60% Aftermarket. It is really beginning to show as we get through all of the noise of inventory rebasing and other things that it is essentially on the topline performing as you would expect that mix to perform. Our P&A business is probably more than 80% Aftermarket. Navico is kind of 60%-40%. It was a nice validation of how we would expect that business to perform on the topline. We did and will continue to invest a lot in new product for Navico. And new product development takes some time to make its way to the market as commercialized products, which is why we emphasized or I emphasized in my section of the deck there, the new products that are coming to market came to market in 2024 in the fourth quarter, which were mostly Aftermarket type products, but are coming to market in 2025 with a bit more of an OEM flavor. So we continue to invest. And that is -- we could operate Navico differently for the short-term and show a big margin improvement, but that’s not the right thing for the longer term. But in 2025, we will expect Navico topline growth and margin expansion while we continue to invest in the business to make sure we have competitive product lines everywhere. I think that is beginning to show up. Ryan can talk about the one-time right here.
Ryan Gwillim: Yeah. It is an impairment of goodwill that we took in the quarter. And really the fundamental change was the risk-free rate going from low 4s to almost 5, which changed the discount rate that we have to use in the calculation, the DCF calculation. So a long way to put it, there’s no change in what our views of the outward years of that business to be, which again, we’re very confident in. But the technical goodwill valuation test that we undergo each quarter, but certainly at the end of the year, with that change in the discount rate, put it into an impairment situation and that’s the charge. Obviously impossible to predict the future, but we do have a risk premium included in that discount rate, which helps us capture local forecast risk moving forward. So I think our view is we’re rightly valued right now and hopefully don’t have to take additional charges anytime soon.
Noah Zatzkin: Thank you.
Operator: Our next question is from Xian Siew with BNP Paribas. Please proceed.
Xian Siew: Hi guys. Thanks for the question. Could you remind us where global weeks on hand are to end the year? Anything we should think about in terms of international dealer levels versus U.S. and where that could go over the course of the year?
Dave Foulkes: Yeah. Well, European is the only other meaningful one, which will be up in the 40 week plus, 41 weeks is European. So combined, it’s probably in the high 30s, I would think, something like that. But, yeah, so European weeks on end is always higher, mainly because of the logistics of the European market and also because the -- of the fact that we typically are not shipping Boats with Engines. We ship Boats and Engines separately, which means that there’s additional stock required at the dealers to combine the two together. So it’s really a bit fundamental to the marketplace. We manufacture -- we have pretty distributed manufacturing in the U.S., but we manufacture all of our boats for Europe, either in Portugal or in Poland. So if we’re shipping up to the Scandinavian markets, for example, or down to Italy, we just need more inventory.
Ryan Gwillim: And maybe that’s why our Dusseldorf results were such a good sign. The Dusseldorf Show where Quicksilver, our European brand, did so well versus last year and even versus prior years, together with Sea Ray doing kind of a record performance. Seeing that European customer come back, especially at the value end, will take those pipelines down very quickly. Again, the pipeline as a TTM is one thing, but when you look at raw units, it’s actually a pretty small number. So retail goodness there can change that. Weeks on hand number very quickly.
Xian Siew: Got it. That’s super helpful. And then maybe on price and mix, it sounds like you’re taking some modest price increases kind of off that inflation. How do you think about affordability and if that’s kind of still holding people back? Do you think promotions need to stay elevated in 2025?
Dave Foulkes: Well, I think affordability is, I mean, if you look at transaction prices, affordability is definitely significantly improved over the past couple of years. I think we continue to moderate -- significantly moderate price increases. So over time, even the MSRP or advertised pricing is moderated in terms of CAGR over a five-year, six-year period, kind of evening out the higher price increases that we had to take during the supply chain crisis. But on a transaction basis with the promotions, I think there’s deflation in transaction prices. We went into the year assuming that promotional rates or total promotional rates would be similar to the back half of 2024. During the course of the year, we’ll continue to moderate as we see how the market develops. I do think, though, that if you look at a full year basis, promotions and discounts will probably be on average lower. And the reason is there was just a need to clear out inventory in the back half of the year, certainly not necessarily with Brunswick brands, but in other brands that necessitated some more significant promotions on a kind of prior model year type basis. As we go into this year with production much more steady and balanced, we have more than 80% of our inventory less than a year old. I just don’t see the same need for additional incremental discounting on prior model year and I don’t see the same dynamic of having to clear out pipelines in the same way.
Ryan Gwillim: And the wholesale interest component will be down…
Dave Foulkes: That’s right. That’s true.
Ryan Gwillim: … because of SOFR going down.
Dave Foulkes: Good point.
Xian Siew: Great. Super helpful. Good luck.
Operator: Our next question is from Jamie Katz with Morningstar. Please proceed.
Jamie Katz: Hi. Good morning. We talked a lot about operating expenses on this call, but I’d be curious to hear your thought on what the long-term capital intensity program looks like. It looks like given that the size of the business is maybe at a new run rate, is it right to think about CapEx closer to 3% of sales going forward rather than maybe the closer to 4% that we were looking at as the business was growing more robustly? Thanks.
Ryan Gwillim: Yeah. Good morning, Jamie. Yeah. You’re right. We went through a period pre-COVID and even after COVID where CapEx was pretty elevated. We did a lot of capacity projects at Mercury. We opened a second Whaler facility. And so that was pretty capital intensive. We’re certainly now in harvest phase where we can still invest in our products, invest in our capital, in our facilities and our people, but probably keep that number, I would say, between 3% and 4%. We were running for a number of years, 5% to 6% through a lot of those programs. But yeah, I think we’re at a point now where we are harvesting some of the spending that we did. We’ve got plenty of capacity, and moving forward, I think we will be at a bit lower cliff as we move through at least the next two years or three years.
Jamie Katz: Okay. That’s helpful. Lastly, I guess, we haven’t talked about potential opportunities. And I’m wondering if maybe it would be helpful to describe sort of what volume of other companies have been coming to you during this period of distress that may be interesting vertical integration opportunities, not so much specifics, but has the cadence of that picked up just other companies looking for strategic alternatives for themselves? Thank you.
Dave Foulkes: Yeah. We continue to feel quite a lot of incoming. I think we’re very judicious about how we handle that and we’ve been pretty purposeful. We’ve continued to expand Freedom Boat Club, notably. But I would say, as Ryan mentioned earlier, as we see really strong cash flow generation and we see our share price at $70, share repurchases have got to be a continued priority for us in terms of where we deploy cash. We’ll continue to look. But broadly, I think we’re pretty comfortable with our portfolio at the moment. And we need to continue to invest organically, certainly not nearly as much in capacity, which we’ve essentially done. But we need to continue to keep our products fresh, which is always a priority for us.
Operator: We have reached the end of our question-and-answer session. I would like to turn the conference back over to Dave for closing remarks.
Dave Foulkes: Well, thank you all for your great questions. I think given the market conditions, we think we’ve used our controllable levers to come close to maximizing the potential of our business in 2024 and position us really well in terms of Boat and Engine inventory levels, fresh lineup of new products and really solid operating efficiency as we go into 2025. Strong free cash flow was a real highlight. It took a lot of effort, but the benefits really flowed in Q4 and continue to flow in Q1. As we’ve discussed, 2025 early season boat shows have also been encouraging with sales up significantly in premium and core and value segments, which is really exciting to see buyers across the spectrum showing increase. And of course, Mercury share gains, I mean, being up 7 points of share to the major shows early in the season on top of the share gains from 2024 was a pretty spectacular performance. Anyway, we are very much looking forward to hosting many of at the upcoming Miami Boat Show in just a few weeks’ time for a tour of our exhibits and our exciting new products and for our Investor and Analyst event. Until then, have a great day.
Operator: Thank you. This will conclude today’s program. You may disconnect your lines at this time and thank you for your participation.